Operator: Good morning and welcome to the NextEra Energy, Inc., and NextEra Energy Partners, LP Q1 2019 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Matt Roskot, Director of Investor Relations. Please go ahead, sir.
Matt Roskot: Thank you, Dory. Good morning, everyone, and thank you for joining our first quarter 2019 combined earnings conference call for NextEra Energy and NextEra Energy Partners. With me this morning are Jim Robo, Chairman and Chief Executive Officer of NextEra Energy; Rebecca Kujawa, Executive Vice President and Chief Financial Official of NextEra Energy; John Ketchum, President and Chief Executive Officer of NextEra Energy Resources; and Mark Hickson, Executive Vice President of NextEra Energy, all of whom are also officers of NextEra Energy Partners; as well as Eric Silagy, President and Chief Executive Officer of Florida Power & Light Company. Rebecca will provide an overview of our results and our executive team will then be available to answer your questions. We will be making forward-looking statements during this call based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect or because of other factors discussed in today’s earnings news release, in the comments made during this conference call, in the Risk Factors section of the accompanying presentation, or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our websites, nexteraenergy.com and nexteraenergypartners.com. We do not undertake any duty to update any forward-looking statements. Today’s presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today’s presentation for definitional information and reconciliations of historical non-GAAP measures to the closest GAAP financial measure. With that, I will turn the call over to Rebecca.
Rebecca Kujawa: Thank you, Matt, and good morning, everyone. NextEra Energy delivered strong first quarter results and is well-positioned to meet its overall objectives for the year. Adjusted earnings per share increased approximately 12% year-over-year, reflecting successful performance across all of our businesses. FPL increased earnings per share $0.20 from the prior year comparable period, which was driven by continued investments in the business for the benefit of our customers. Roughly 1,750 megawatt Okeechobee Clean Energy Center, which is among the cleanest and most fuel-efficient power plants of its kind in the world, entered service at the end of the first quarter on budget and ahead of schedule. During the quarter, FPL also successfully completed the construction on schedule and on budget of nearly 300 megawatts of cost-effective solar projects built under the Solar Base Rate Adjustment or, or SoBRA, mechanism of our settlement agreement. By executing on smart capital investments such as these, FPL is able to maintain our best-in-class customer value proposition of clean energy, low bills, high reliability and outstanding customer service. FPL’s typical residential bill remains nearly 30% below the national average and below the level it was in 2006, while our service reliability has never been higher. The integration of Gulf Power which we closed on the start of the first quarter, continues to progress smoothly. We are now focused on ensuring we successfully execute on key systems and capital initiatives. We have already begun to see significant benefits from our focus on operational cost effectiveness with base retail O&M costs down nearly 5% year-over-year. Consistent with our focus at FPL, we are also identifying smart capital investments to further reduce costs and improve overall customer value proposition. By executing on this strategy, we expect the acquisition to benefit customers, shareholders and the Florida economy. At Energy Resources, adjusted EPS increased by $0.10 per share year-over-year, primarily reflecting contributions from new investments. It was another strong quarter of renewables origination with our backlog increasing by nearly 1,000 megawatts since the last call. Included in these backlog additions is our first co-located combined wind, solar and storage project. As we further advance the next phase of renewables deployment that pairs low cost wind and solar energy with a low cost battery storage solution to provide a product that can be dispatched with enough certainty to meet customer needs for a nearly firm generation resource. At this early point in the year, we are pleased with our progress at FPL, Gulf Power and Energy Resources. Now, let’s look at the detailed results beginning first with FPL. For the first quarter of 2019, FPL reported net income of $588 million, or $1.22 per share. Earnings per share increased $0.20 year-over-year. Regulatory capital employed growth of 8.3% with a significant driver of FPL’s EPS growth versus the prior year comparable quarter. FPL’s capital expenditures were approximately $1.1 billion for the quarter and we expect our full year capital investments to be between $5.7 billion and $6.1 billion. Our reported ROE for regulatory purposes will be approximately 11.6% for the 12 months ending March 2019, compared to 11.2% for the 12 months ending March 2018. During the quarter, we utilized $156 million of reserve amortization to achieve our target regulatory ROE leaving FPL with a balance of $385 million. As we previously discussed, FPL historically utilizes more reserve amortization in the first half of the year, given the pattern of its underlying revenues and expenses, and we expect this year to be no different. We continue to expect that FPL will end 2020 with a sufficient amount of surplus to continue operating under the current base rate settlement agreement for up to two additional years, creating customer -- creating further customer benefits by avoiding a base rate increase during this time. Turning to our development efforts, we continue to identify smart capital investments to further enhance our already best-in-class customer value proposition. Consistent with the 30-by-30 plan we announced earlier this year, FPL’s 10-Year Site Plan that was filed with the Florida Public Service Commission earlier this month included plans for roughly 7,000 megawatts of additional cost-effective solar projects across Florida over the coming years. This includes the approximately 300 megawatts that remain under the SoBRA mechanism of our settlement agreement, as well as, the nearly 1,500 megawatts of SolarTogether community solar projects that we expect to construct over the next two years, subject to approval by the Florida Public Service Commission. Through SolarTogether, which would be the nation’s largest community solar program, participating customers will subscribe to a portion of new solar power capacity, and in return, they will receive credits that are expected to reduce their monthly bills over time. During the initial pre-registration period, customers demand for the voluntary program was substantial with approximately 200 of FPL’s largest energy users indicating more than 1,100 megawatts of intended participation. 20 new universal solar sites that are currently planned for this program are projected to cost approximately $1.8 billion, and generate an estimated $139 million in net lifetime savings with non-participating customers expected to receive 20% of this total. To support what is one of the largest ever solar expansions, FPL has already secured approximately 7 gigawatts of potential sites. During the quarter, FPL also announced its modernization plan to replace two existing natural gas steam units, totaling approximately 1,650 megawatts, with clean and renewable energy, including the world’s largest solar-powered battery system. The 409-megawatt, 900-megawatt hour Manatee Energy Storage Center is expected to increase the predictability of the existing co-located solar project, enabling FPL to more efficiently dispatch other power plants. The project is expected to be in service in 2021 and save customers more than $100 million, while eliminating more than $1 million tons of carbon dioxide emissions. We will provide additional detail on these announcements and other capital initiatives at our June Investor Conference. Let me now turn to Gulf Power, which reported first quarter 2019 net income of $37 million or $0.08 per share. During the first 12 months following the closing of the Gulf Power acquisition, we intend to exclude one-time acquisition integration costs, including those related to enhanced early retirement programs, severance and system costs. We do not intend to exclude any integration costs beyond this year. Interest expense to finance the acquisition is reflected in the corporate and other segment, and largely offsets the first quarter of Gulf power net income contribution. Gulf Power’s reported ROE for regulatory purposes will be approximately 10% for the 12 months ending March 2019. For full year 2019, we are targeting a regulatory ROE in the upper half of the allowed band of 9.25% to 11.25%. We expect to achieve the regulatory ROE expansion through operating efficiencies, while making significant capital investments to improve the value proposition for our Gulf Power customers. During the quarter, Gulf Power’s capital expenditures were roughly $100 million, and we expect our full year capital investments to be approximately $700 million. We will provide additional details on Gulf Power’s operating plan and capital investment opportunities in June. During the quarter, Gulf Power filed a cost recovery petition for the approximately $350 million in Hurricane Michael restoration costs. Subject to a review and prudence determination of the final storm costs by the Florida Public Service Commission, Gulf is proposing a surcharge equivalent to $8 per month on a 1,000-kilowatt hour residential bill until the storm costs are fully recovered, which is expected to occur after approximately 60 months. Gulf Power believes that the proposed surcharge strikes an appropriate balance between ensuring timely cost recovery and mitigating customer bill impacts. The Florida economy continues to show healthy results and is among the strongest in the nation. The current unemployment rate of 3.5% is near the lowest levels in a decade, and remains below the national average. The real estate sector continues to grow with average building permits and the Case-Shiller Index for South Florida, up 11.6% and 4.8% respectively versus the prior year. Florida’s consumer confidence level also remains near a 10-year high. During the quarter, FPL’s average number of customers increased by approximately 100,000 from the comparable prior year quarter, driven by continued solid underlying growth, as well as the addition of Vero Beach’s roughly 35,000 customers late last year. FPL’s first quarter retail sales increased 0.5% year-over-year. Partially offsetting customer growth was the decline in overall usage per customer of 0.5%, driven by unfavorable weather and an estimated 0.1% decrease in weather-normalized usage per customer. A slight decline in underlying usage is a reversal from the trend over the past 12 months. But as we have often discussed, this measure can be volatile over time. We will continue to monitor closely and analyze the underlying usage, and we’ll update you on future calls. For Gulf Power, the average number of customers was roughly flat to the comparable prior year quarter. We estimate that Hurricane Michael resulted in a decrease of approximately 7,000 customers, roughly offsetting the strong growth experienced during the earlier months of 2018. Over time, we expect that 60% to 80% of these customers will return as they are able to rebuild and otherwise recover from this devastating storm. Gulf Power’s first quarter retail sales decreased 7.5% year-over-year, primarily due to milder-than-normal weather in 2019 relative to the extreme cold experienced in January of 2018. As a reminder, unlike FPL, Gulf Power does not have a reserve amortization mechanism under its settlement agreement to offset fluctuations in revenue or costs. Now, let me turn to Energy Resources, which reported first quarter 2019 GAAP earnings of $301 million or $0.63 per share, and adjusted earnings of $448 million or $0.93 per share. This is an increase in adjusted earnings per share of $0.10 or approximately 12% from last year’s comparable quarter results. Last year’s first quarter results have been restated higher by $9 million or $0.02 per share to reflect the adoption of new lease accounting standards during the fourth quarter of 2018. New investments added $0.08 per share, primarily reflecting the roughly 1,700 megawatts of new contracted wind and solar projects that were commissioned during 2018. Weaker wind resource during the first quarter was responsible for roughly the entire $0.10 decline in contributions from existing generation assets. First quarter fleetwide wind resource was one of the worst over the past 30 years at 91% of the long-term average versus 102% during the first quarter of 2018. We continue to have confidence in the accuracy of our long-term wind resource assumptions and expect to continue to experience both positive and negative quarterly variability. The appendix of today’s presentation includes a slide with additional details of long-term resource variability for the current Energy Resources’ wind portfolio. Beyond renewables, our other existing generation assets continue to perform well. We were pleased to receive the 20-year license extension for the Seabrook Nuclear facility, allowing the profitable plant to continue to offer the New England states attractively priced carbon-free energy until at least 2050. Our gas infrastructure business including pipelines and the customer supply and trading businesses, both contributed favorably to the first quarter results. All other impacts, including small favorable year-over-year tax items and low corporate G&A due to the timing of development activity increased results by $0.03 versus 2018. As I mentioned earlier, the Energy Resources’ development team had another strong quarter of origination. We added 223 megawatts of wind projects to our backlog, including a 100-megawatt build-own-transfer project with a 30-year O&M agreement that will allow the customer to leverage Energy Resources’ best-in-class operating skills, while providing ongoing revenue through the contract term. We also added 485 megawatts of solar projects and 50 megawatts of four-hour battery storage projects to our backlog, and a 110-megawatt solar plus storage build-own-transfer agreement during the quarter, which is not included in our backlog additions. Our wind repowering program also continued to progress during the quarter, as we added a 195 megawatts to our backlog and commissioned an additional 55 megawatts of repowered projects. Although we expect to continue to sign projects that will go into service before the end of 2020 in the coming months, we are pleased that we already have nearly 2,700 megawatts in backlog for 2021 and beyond. Beyond renewables, while we continue to advance MVP toward ultimate completion and we expect to ramp up construction activities in the coming months, the Fourth Circuit’s decision not to pursue, an en banc review on the Atlantic Coast Pipeline Appalachian trail crossing authorization presents a challenge to both timing and cost. Since the original court decision, we have been working with our project partners on several alternatives to address the issue, and we continue to vigorously pursue these tasks. At this point, our previously announced fourth quarter 2019 target in-service date appears unlikely. We are continuing to work through options with our partners and will provide a further update in the near future. As a reminder, we do not expect any material adjusted earnings impacts, nor any change to NextEra Energy’s financial expectations regardless of the outcome of the ongoing challenges related to MVP. Turning now to the consolidated results for NextEra Energy. For the first quarter of 2019, GAAP net income attributable to NextEra Energy was $680 million or $1.41 per share. NextEra Energy’s 2019 first quarter adjusted earnings and adjusted EPS were $1.06 billion and $2.20 per share, respectively. Adjusted earnings from the corporate and other segment decreased $0.14 per share compared to the first quarter of 2018, primarily due to higher interest expense as a result of the financing related to the Golf Power acquisition. Since the last call, we have completed approximately $5.2 billion and longer-term financing transactions to replace the bridge loans that were executed prior to Gulf Power closing. These financing are both fixed and floating rate, and are for a variety of maturities retained 1.5 and 60 years with a weighted average tenor of roughly 12 years, and a weighted average interest rate of 4.4% including the effect of the interest rate swaps we entered into at the time of the acquisition announcement. After closing these transactions, we repaid the bridge loans and settled the interest rate hedges. During the quarter, NextEra Energy Transmission received FERC approval to acquire Trans Bay Cable, a 53-mile, rate-regulated, high-voltage, direct current underwater transmission cable system, which provides approximately 40% of San Francisco’s daily electrical power needs. We continue to expect to close the acquisition later this year, assuming we received the required approval from the California Public Utilities Commission, which is the last material condition outstanding. Based on our first quarter performance at NextEra Energy, we remain comfortable with the expectations we have previously discussed for the full year. For 2019, we continue to expect adjusted earnings per share to be at or near the top end of our previously disclosed 6% to 8% growth rate, off the 2018 base of $7.70 per share. Our longer term expectations through 2021 remain unchanged and we will be disappointed if we are not able to deliver growth at or near the top end of our 6% to 8% compound annual growth rate range, off of our $7.70 base realized in 2018, plus the expected deal accretion from the Florida transactions. From 2018 to 2021, we expect that operating cash flow will grow roughly in line with our adjusted EPS compound annual growth rate range. As always, our financial expectations assume normal weather and operating conditions. In summary, after a strong start to the year, we remain as enthusiastic as ever about NextEra Energy’s future prospects. At FPL, we continue to focus on delivering our best-in-class customer value proposition through operational cost effectiveness, productivity and making smart long-term investments. With Gulf Power integration continues to advance well, and everything we see today leaves us even more confident about our ability to deliver the financial expectations we have previously outlined for Gulf while improving the customer value proposition. Energy Resources maintain significant competitive advantages and continues to capitalize on the best renewables development period in our history. Combined with the strength of our balance sheet and credit ratings., NextEra Energy is uniquely positioned to drive long-term shareholder value and we remain intensely focused on executing on these opportunities. Let me now turn to NextEra Energy Partners. The NEP portfolio performed well and delivered financial results in line with our expectations after accounting for below normal wind resource. Yesterday, the NEP Board declared a quarterly distribution of $0.4825 per common unit, or $1.93 per common unit on an annualized basis, up 15% from a year earlier. Inclusive of this increase, NEP has grown its distribution per unit by nearly 160% since IPO. During the quarter, NextEra Energy Partners announced an agreement to acquire a geographically diverse portfolio of six wind and solar projects from NextEra Energy Resources. The approximately 600 megawatts of projects, which have a weighted average contract life of 15 years and a counterparty credit rating of A2 at Moody’s, and A at S&P, further diversify NEP’s existing portfolio. Upon completion, the acquisition combined with an associated recapitalization of existing NEP assets is expected to enable NEP to complete the growth necessary to achieve our previously outlined year-end 2019 run-rate expectations even after excluding the PG&E related projects cash flows. These transactions are expected to be financed with a $900 million convertible equity portfolio financing, which I will discuss in more detail in a moment, as well as existing NEP debt capacity. Let me now review the detailed results for NEP. First quarter adjusted EBITDA of $225 million and cash available for distribution of $47 million were generally in line with our expectations after accounting for the weak wind resource. The first quarter of 2018 (sic) [2019] presents a particularly challenging comparable quarter as both adjusted EBITDA and CAFD benefited from the $30 million acceleration of the note receivable related to the sale of our Jericho asset. In addition, the adjusted EBITDA and cash available for distribution contribution from existing assets was reduced by approximately $23 million and $22 million respectively as a result of the weak wind resource, which was 89% of the long-term average versus 105% in the first quarter of 2018. As noted during our discussion around Energy Resources results, we have confidence in our long-term resource assumptions and expect to continue to experience both positive and negative quarterly variability. For the balance of ‘19, based on the shape of the contributions from the recently divested and acquired assets, we expect most of NEP’s growth in adjusted EBITDA and CAFD to be in the second half of the year. At the end of the first quarter, approximately $38 million of cash distributions for PG&E-related projects including Desert Sunlight 250 which is contracted with Southern California Edison were restricted as a result of events of defaults under the financing that arose due to PG&E’s bankruptcy filing. PG&E continues to make payments under all of our contracts for post petition energy deliveries, and we continue to pursue all options to protect our interests, including vigorously defending our contracts and working with key stakeholders of each financing. Additional details of our first quarter results are shown on the accompanying slide. As I previously mentioned, we continue to execute on our plan to expand NEP’s portfolio with the acquisition from NextEra Energy Resources that we announced during the quarter. NEP expects to acquire the unlevered portfolio for total consideration of $1.02 billion, subject to working capital and other adjustments. The acquisition is expected to close later this quarter and contribute adjusted EBITDA of approximately $100 million to $115 million, and cash available for distribution of approximately $97 million to a $107 million, each on an annual run rate basis, as of December 31, 2019. Following the acquisition, these assets will be combined with 581 megawatts of existing NEP wind assets into a new portfolio. The $220 million of existing project debt on the current NEP assets is expected to be immediately paid down, creating significant benefits for NEP, including the net present value distribution per unit and credit accretive as well as generating roughly $25 million in incremental CAFD. To finance the new acquisition and debt recapitalization of the existing assets, NEP will utilize the proceeds from a $900 million convertible equity portfolio financing with KKR, as well as existing debt capacity. The KKR financing will have an initial effective annual coupon of less than 1%, and provide NEP with the flexibility to periodically buyout KKR’s equity interest at a fixed 8.3% pre-tax return, inclusive of our prior distributions, between the 3.5-year and 6-year anniversary of the agreement. NEP will have the right to pay a minimum of 70% of the buyout price in NEP common units, issued at no discount to the then-current market price. This transaction further demonstrates NEP’s continued ability to access attractive sources of capital to finance its growth, while providing third-party confirmation of NEP’s long-term outlook and high-quality portfolio. Relative to the initial convertible equity portfolio financing transaction, that we executed with BlackRock in 2018; this financing will have several features that further enhance the value for NEP unit holders. With the lower initial coupon, more cash will be available to LP unit holders allowing NEP to acquire fewer assets to achieve the same level of future distribution growth. If NEP acquires fewer assets, it will have lower future financing needs. As a result, following the transaction, we believe NEP will be well positioned to meet its long-term financial expectations, without the need to sell common equity until 2021 at the earliest, other than modest sales under the at-the-market program. In addition to reduced future equity needs, NEP will retain the flexibility to convert the pending KKR portfolio financing and the common units at no discount over a longer period of time. This should be accretive to NEP unit holders to retain all of the unit price upside as NEP executes on its expected distribution growth objectives. Additionally, NEP will maintain significant option value on the underlying portfolio of assets, while also preserving debt capacity and balance sheet flexibility. Upon successfully executing the transaction that we announced last quarter, NextEra Energy Partners expects to achieve its 2019 growth objectives, assuming no cash is available from the PG&E-related projects. Excluding all contributions from these projects, NextEra Energy Partners continues to expect a year end 2019 run rate for CAFD, in the range of $410 million to $480 million, reflecting the calendar year 2020 expectations for the forecasted portfolio at the end of 2019. If PG&E related cash distributions were included, year end 2019 CAFD expectations would be in the range of $485 million to $555 million. Year-end 2019 run rate adjusted EBITDA expectations, which assume full contributions from projects related to PG&E as revenue is expected to continue to be recognized remain unchanged at $1.2 billion to $1.375 billion. From a base of our fourth quarter 2018 distribution per common unit at an annualized rate of $1.86 per common unit, we see 12% to 15% per year growth in LP distributions as being a reasonable range of expectations through at least 2023 subject to our usual caveats. Additionally, following the transactions -- transaction announced earlier this quarter, NEP announced its intention to grow its 2019 distribution at 15%, resulting in an annualized rate of the fourth quarter 2019 distribution that is payable on February 2020 to be at least $2.14 per common unit. Our ability to continue to grow distributions at the top end of our expectations range for 2019 despite the PG&E-related headwind is reflective of NEP’s market leading position and our continued focus on delivering value for LP unit holders. NEP continues to maintain flexibility to grow in three ways: through organic growth, third-party acquisitions, or through acquisitions from NextEra Energy Resources, providing clear visibility into its future growth prospects. Energy Resources currently has nearly 21 gigawatts of projects it could sell to NEP including its existing operating renewable assets and its backlog of projects it intends to build over the coming years. Additionally, despite the recent challenges related to PG&E, during the quarter, NEP demonstrated its ability to access extremely low-cost financing to support its growth. With continued financing flexibility, a strong base of underlying assets, a favorable tax position and enhanced governance rights, NEP is well positioned to meet its growth expectations. We remain focused on continuing to execute and creating value for LP unit holders going forward. In summary, both NextEra Energy and NextEra Energy Partners are benefiting from our history of strong execution that has positioned us well to capitalize on the terrific growth opportunities available to us across our businesses. We look forward to share in more detail with you at our Investor Conference on June 20th. That concludes our prepared remarks. And with that, we will open up the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And we will take our first question from Stephen Byrd at Morgan Stanley. Please go ahead.
Stephen Byrd: Hi. Good morning.
Rebecca Kujawa: Good morning, Stephen.
Stephen Byrd: I wanted to talk about Resources. You continued to put up impressive growth numbers there. I noticed BOT, build-own-transfer, continues to show up. Would you mind just talking at a high level in terms of trends with respect to BOT? Do you see a trend in that direction? Is this more just what you expected it’s going to be a part of the mix, but not a growing trend? What are you seeing in terms of the BOT side of the market?
Rebecca Kujawa: Stephen, as you know, we’ve seen the tremendous growth in our renewables opportunities across the board, and we have historically benefited from sales to IOU customers, munis and co-ops, as well as a growing demand from C&I customers. Two of those groups, the munis and co-ops, as well as the C&I customers, generally are not that interested in build-own-transfers or owning the renewable assets. They are very happy to take advantage of all of the advantages that we bring to the table, including of our cost of capital, our scale, our ability to construct and deliver these projects, and ultimately operate them over the long-term at a low price. Our IOU customers are increasingly building renewables and wanting to procure and incorporate more into their portfolios. So, as the pie has gotten bigger, there is probably a nominal number of megawatts that are increasing in terms of build-own-transfers, and our team has been able to successfully offer to our customers a multitude of benefits to them of bringing a very -- all of the advantages that we bring to them and sell, part of it is build-own-transfer, and typically part of it is a PPA to them, bringing a total package that is very valuable to our customers. So, it’s increasing, but very positive addition to our portfolio. John might add some more.
John Ketchum: Yes. Stephen, this is John. What I would add to that is the way I look at BOT is it enables more contracts. So, the BOT that you saw this quarter was the Portland General transaction where we had a trifecta of wind and solar with battery storage. And BOT was part of the wind facility that we actually ended up building, but we got a contract back for the other piece of it. And that’s typically the type of BOT transaction that you’ll see us enter into. But, it is a part of the business and it’s an enablement for more contracted origination around the renewable portfolio.
Stephen Byrd: Understood. So, it’s a tool and toolkit, you earned good returns on and it’s part of the solution you offered to some customers. So, understood.
John Ketchum: Exactly.
Stephen Byrd: Great. I wanted to shift over to solar together, this is really interesting model, and Rebecca you mentioned briefly the savings to customers. Would you mind just speaking a little bit to this. It does seem like a nice model to offer solar to your customers. I just want to make sure I understood the -- what you had mentioned, I think, on the $1.8 billion cost, I think, you mentioned $139 million of savings. Could you just talk through that a little bit more in terms of the benefits to customers from solar together?
Rebecca Kujawa: Yes. So, as you might expect, we’ve long been excited about deploying more solar in Florida. It is the Sunshine State, and solar has gotten to be more cost effective. We’re very excited about bringing it to -- across our entire portfolio. And there are certain amount of interest from our C&I customers, who don’t necessarily want to take on the ownership in construction responsibility, particularly when it’s not at scale and not as cost competitive as what we can build. And so, when we went out and offered up this idea of a community solar program, we got a significant amount of interest from our large C&I customers, which is primarily the group that we went out to talk to. And that was the 1,100 megawatts of initial demand for this preregistration period that we offered up. And since then, we sized our program to be around 1,500 megawatts. So, in the layout of the program, customers that sign up for this, their voluntary participation will pay a certain amount on their bill in the near-term, and over the long-term will receive credits against their bill. But about 25% -- 20% to 25% of the savings, the net savings to the overall system are actually going to be retained by the nonparticipating customers. So, FPL’s existing customers will get a benefit from this program as well.
Operator: And we’ll take our next question from Steve Fleishman at Wolfe Research. Please go ahead.
Steve Fleishman: So, could you maybe give a little more color on the MVP comments with respect to just more color and also what would be driving an update soon as opposed to like now or the Analyst Day?
Rebecca Kujawa: So, as I mentioned in the prepared remarks, we along with everybody else were certainly disappointed by the Circuit Court not taking up the en banc review. And as soon as the initial adverse decision was made, we started working closely with our partners in a variety of different options, whether it’s legislative administrative, et cetera, to resolve the issues, so that we can continue to build and ultimately bring online MVP. And we remain confident that one of those many options will ultimately come together, so that we can put MVP into service which at this point we think will be even more valuable than what we originally thought just because of the challenges that building pipelines in this area has proven to be. But at this point, looking at what we previously targeted for our in-service date of year-end 2019, that’s challenging. So, we’re still working on what exactly the path forward is and the timing for COD. We are going to resume construction, as you know we temporarily pause construction during -- kind of turned down construction during the winter period, just for the overall conditions as we’re starting to get to the spring, so we will resume construction where we can. And then as we firm up plans, it’s clear which of these options will come to fruition. We’ll give you more specifications on terms of timing and ultimate cost.
Jim Robo: Steve, this is Jim. We certainly have both at date and at cost for you at the Analyst Day.
Steve Fleishman: Okay. And then also could you talk a little bit more about the undergrounding legislation and just what the investment opportunity and customer benefit is there?
Rebecca Kujawa: Sure. I’ll start, and I’ll probably hand it over to Eric to add some more details. As everyone is well aware, after the devastating impacts in our service territory from Irma and then broader in Florida from Michael and other hurricanes. It became clear to a lot of critical stakeholders about how important it is to have continuous service for our customers. As you probably know, Florida is now $1 trillion annual economy. I think it’s something like the 16th largest economy in the world, if we were -- our own economy. So, every day that we’re offline is a significant harm to our state. And so there is an appreciation from critical stakeholders in the legislature and other communities about the value of resiliency in our grid and one of the ways that we can improve the resiliency is through some undergrounding. So there is some legislation going through the current session in Florida for the possibility of setting up a separate clause that ultimately we could recover investments and on a return on for underground in our service territory through a clause mechanism.
Eric Silagy: Hey, Steve. This is Eric Silagy. I guess, the only thing I would add on this is the legislation has progressed through both the Senate and the House pretty well. It’s gone through six different committees, three in House, there in the Senate. It has passed sort of all those committees unanimously. So to date, there hasn’t been a single no vote against it in either body. There are some slight differences in the versions, so those have to be reconciled. It’s not really subservience, it’s more of verbiage, but we expected to be taken up by the full House, the full Senate in the coming next week or so, two weeks the most because that’s the end of session. And if it passes, then indications are that the governor will be supportive as well, and then there is a huge focus on resiliency of the state as Rebecca talked about. And frankly, we’ve worked very hard over the past couple of years under -- with a couple of pilot programs to look at how do we get costs out of undergrounding, and we’ve gotten now to the point where particularly under a programmatic approach, we will be able to get the cost to be equal, if not, even a little better than some of the hardening efforts that we do above ground. So, it’s a real win for customers both financially, as well as obviously resiliency.
Operator: [Operator Instructions] We’ll take our next question from Shahriar Pourreza at Guggenheim Partners. Please go ahead.
Shahriar Pourreza: So, let me just ask a quick question, a couple here. But around Santee Cooper, there’s obviously a lot of mixed data points we’re seeing with lawmakers, the town hall meeting seem to be a little bit noisy and we kind of still have two competing bills. And then on the other hand, the process seems to be much more competitive then we all thought. So maybe a quick status update regarding the process, are we still expecting some sort of a closure in the decision by the June time frame?
Rebecca Kujawa: Maybe I’ll start off with the typical caveats that I think we are appropriate response to the question and maybe Jim wanted to add something specific, I’ll talk with him. But as you know, we typically don’t comment on M&A activity other than very general comments that we look for opportunities where there is a constructive regulatory environment. It’s accretive, and ultimately there is a good fit from our business perspective including the opportunity to deploy the Florida playbook, and being able to improve customer value proposition for our customers. And Jim, do you want to add some specific comments.
Jim Robo: So, obviously we’ve confirmed that we put a bid in for Santee, and there is a process going on. I would expect it to come to conclusion here by June, and we will see how it plays out. I think the State realizes that the Santee has upwards of $4 billion to $5 billion of debt for -- on an asset. The nuclear plant that is never going to generate any income. And so it’s an issue for the State that they need to address, and I think the vast majority of folks in the State understand that they need to address it, and the key stakeholders are, I think, working hard to come to conclusion about how the process is going to move forward. So, we are cautiously optimistic that they bring -- that the Legislature passes something to lay out what the process will be, and then, we’ll see. As I said, we did confirm in the last call that we put a bid in, and you can imagine that we’ll continue to play in the process, and it’s someplace where we think we can add a lot of value and bring value to customers and bring value to economic development in the state.
Shahriar Pourreza: And just a quick update on Gulf Power. You’re sort of five months into it. Seems like you’re still kind of reiterating the $0.15 to $0.20 of accretion, despite Gulf already contributing $0.08 in the quarter. Are you starting to see some incremental near-term opportunities to your prior stated accretion guided or is this something maybe you will update at the Analyst Day?
Rebecca Kujawa: Well, couple of comments on Gulf. First, a high level, maybe taking more of the second part of your question first. We obviously closed at the very beginning of this year and we are as enthusiastic as ever about the opportunities with Gulf as we were prior to closing the acquisition. I personally spent time up there. I know many of the other folks in the senior team, and obviously we have a terrific team at Gulf now executing, and that’s both taking cost out of the business as well as identifying those smart capital investments, which will ultimately deliver on the value proposition that we’ve been targeting with FPL, just low bills, high reliability, terrific customer services and clean energy. I feel very optimistic and excited about it. More specifically to the numbers. Yes, you’re correct on the $0.08, but as you know we’re going to highlight the Gulf contributions as its own entity. And then for the financing cost, the financing cost to close the acquisition of showing up at CNL. So you might want to think about those two together. We do have opportunities to further improve the cost position through the balance of the year. We’ll also start to ramp up the capital investments. And as I talked about, we are planning to deploy a total of $700 million for the full year at Gulf. And then obviously there is some ROE improvement that I talked about in the prepared remarks as well. Our guidance expectations remained from the overall company perspective, as we talked about of our 6% to 8% growth from our 2018 adjusted EPS of $7.70 in 2019, and then we expect to have the incremental accretion on top of that growth rate of $0.15 in 2020 and $0.20 in 2021.
Shahriar Pourreza: And then, lastly, Rebecca just you mentioned administrative options with MVP. Can you confirm if you’re working with the ACP owners around this option? Like what stated -- obviously they are completely different projects, but what -- how much collaborating are you doing with the ACP owners like Dominion, especially...
Rebecca Kujawa: I don’t want to talk through really the details of that. As we’ve -- as I talked about a couple of minutes ago, we worked very closely with our partners to develop different options and we do believe there are various options in order to complete it, but we don’t really think that it’s to our advantage to get through a lot of the details of that out publicly. So, we’re working on it very hard. We remain confident in our ability to ultimately construct and bring it into service.
Operator: And we will take our next question from Julien Dumoulin-Smith with Bank of America Merrill Lynch. Please go ahead, sir.
Julien Dumoulin-Smith: So, at this point, I think perhaps a couple of clarifications. Perhaps starting with the last question, on Gulf, just to go back to what you were saying about your expectations on earned ROEs already pretty healthy, how do you think about the timeline to go back in for a formal rate case? And then also perhaps the prospects of getting an amortization type mechanism eventually. I mean, certainly that would be one of the multiple priorities, I would imagine in contemplating any kind of rate recovery. But at the same time, given the ability to earn within the band, clearly the upper end already, how do you think about timeline?
Rebecca Kujawa: So, we’re still at the early stages, Julien. We closed it a couple of months ago. And right now, the teams head is very much into identifying the cost saving opportunities, putting the dot the I’s and crossing the T’s on the capital initiatives that we can make, and we’re putting those plans together. For now, I’d like to limit it to the comments that we made in the script and the prepared remarks that we expect to be at the upper half of the ROE band, and we expect to target the capital investment opportunities of a total of $700 million in 2019. And then to the extent that we can put more detail around that, particularly around the capital initiatives. We’ll highlight more of those at the June Investor Conference.
Julien Dumoulin-Smith: And then secondly, if you can, just coming back to -- you started the Q&A on the backlog here, it seems like another shift in backlog seems to be longer-dated beyond the 2020 period. If you look at what was added, it seems like the bulk of it for this quarter was added and the bulk of it -- that was solar. Can you comment a little bit about the economics of solar in the backlog as you move through time in ‘19 and ‘20 versus the ‘20 onwards type projects? And then perhaps any other nuances you might see in terms of safe harboring or otherwise in the ‘20 onwards type time frame?
Rebecca Kujawa: There are a couple of comments in there, Julien. So you’ll have to correct me if I don’t hit all of them. But in terms of the timing of the backlog, as you know, we set out expectations at our last Investor Conference for the full -- 2017 through 2020 time frame. We’re now healthily in those ranges, which sets us up very well to deliver on the expectations that we’ve long talked to you all about. And as we highlighted in the script today, we now have the 2,700 megawatts of projects that are beyond 2020. I mean that’s actually building up over time and there is actually one or two projects that moved from the -- before 2021 time frame into 2021. We’re starting to see customers shift, their focus to beyond 2020. I wouldn’t say that the team has stopped the efforts to sign contracts for 2020 COD, and in fact, I’m sure John will tell you that he is pushing his team hard, and no doubt customers continue to be interested in signing up wind projects before the end of 2020. But, of course, with solar still having the technical benefits, tax incentives into the early ‘20s, customers are certainly focusing on that as well. To answer the return question, our returns as we long talked about has generally remained consistent on a levered basis over time. And that hasn’t changed materially in recent weeks or months.
Julien Dumoulin-Smith: Right. All right, excellent. Well, we can leave it there. Thank you very much again.
Jim Robo: Hey, Julien. This is Jim. The only other thing I would add to your -- as you can imagine, we are safe harboring for ‘21 and beyond. So we’re not taking advantage of that opportunity.
Julien Dumoulin-Smith: Right. You should assume everything safe harbored.
Jim Robo: Correct.
Operator: [Operator Instructions] And we’ll take our next question from Jonathan Arnold at Deutsche Bank. Please go ahead.
Jonathan Arnold: Could I just ask on the -- to subjective BOT and the backlog, and it just seem you’ve had situations where you are adding BOT to the backlog, and then others where you -- including last quarter where you didn’t. What’s the trigger to determine whether BOT is shown in backlog or not?
Rebecca Kujawa: Yes. Typically, if there are some sort of operating agreement, whether it is ongoing economic value to us, then we have decided to include it in our backlog, where the transaction is really focused more on a build, and then truly sale, and then the operations and all ongoing economics or to the customers benefit, we’ve excluded it.
Jonathan Arnold: Okay.
John Ketchum: Yes. So, Jonathan, this is John. So, the contracts that’s BOT this quarter, again is related to Portland General. So 300-megawatt wind facility, 100 megawatts BOT, 200-megawatt is the balance that we will own under a contract. And so that facility is going to be -- the whole 300 megawatts is going to be operated by us, I’m sorry, got that backwards 200 megawatts is the piece, that’s the BOT, and 100 megawatt is piece that we take back.
Jonathan Arnold: Okay. So, that makes sense. But then, for example say, the 200 megawatts BOT project that you announced on the fourth quarter call, was that something different? And then, would that -- is that we shouldn’t anticipate that would end up in backlog or should we?
John Ketchum: No, no. That would not be in backlog. And just to clarify, we got 100 megawatts of BOT, and right with Portland General, 200 megawatts under contract.
Jonathan Arnold: Yes. This is all that Wheatridge, correct. To see that in the...
John Ketchum: That’s all Wheatridge.
Jonathan Arnold: And then, there is the solar piece as well.
John Ketchum: There is the solar piece as well and the battery storage.
Jonathan Arnold: The storage piece. Yes, okay. I got it. Thank you for that. And then just on one -- an another topic. And if we -- as we’re thinking about what to anticipate at the Analyst Day, and then we talked about at some point you might sort of start talking more around profitability metrics on backlog and as opposed to just megawatts. Is that something that you think might be part of the update or is still work in progress?
Rebecca Kujawa: Jonathan, it is very much a work in progress. I think the general outline should be somewhat consistent with what we’ve talked about in the past, which is overviews of our -- basically putting meat to the bone, you’re helping you understand with the growth opportunities are for each of our businesses. Obviously for the first time at Gulf Power, we detailed plans on how we’re looking at the business and what the opportunities are. At Energy Resources, we certainly -- it’s likely we will put together an overview of the renewables marketed as we see it today, to help you see some of the details of why our team continues to be excited about renewable economics, and ultimately demand from our customers that will enable us to continue to grow our business.
Operator: And we will take our final question from Michael Lapides at Goldman Sachs. Please go ahead.
Michael Lapides: Just curious, a lot going on in Florida these days, and this maybe one for Eric. How are you guys thinking about a handful of items? One is the outstanding petition or complaint regarding tax reform implementation in the last FP&L kind of rate review; the other is, I think, there is still some litigation outstanding or challenge regarding implementation of the SoBRA mechanism. And then finally, just curious, is there anything that has to happen or anything that could happen that could derail the two-year extension of the existing rate agreement you have?
Eric Silagy: So, let me start with the tax reform docket. We recently had hearings over it and filed testimony, there’s going to be additional hearings that take place in mid-May. Look, we feel very good about our position, and how it fits within our rate agreement. Our arguments are solid and sound. It’s a proceeding, we will go through it. But I feel very good about where we stand overall from the tax reform position. Other areas, obviously, as you know, we’ve got -- the Irma docket is still out there too, that’s going to be in mid-June. Again feel very good about that. That was a storm that we actually restored more people faster than anybody in history, and we paid for using our tax savings to reserve amortization. So, I feel very good about our positions in Florida Public Service Commission. I can’t predict who’s going to oppose what and when they’re going to file for hearings. But right now, the arguments have been strong and the hearings have gone well so far.
Michael Lapides: Got it. Thanks, Eric.
Rebecca Kujawa: And Michael, I shall add to Eric’s comments as you referenced to the -- you’re going in for a rate case. As we talked about both in the script, and obviously, in prior comments, tax reform enabled us to potentially have a two-year extension of our settlement agreement, and that obviously the benefit of delaying any amount of time is further delaying the time where we’d need a base rate increase from our customers, so hopefully saving the customers some money. But it’s up to two years, and we’ll have to go through the thought process as we typically do about when is the best time to go in and looking at all of our costs and our forecast about when do we need some incremental revenues.
Michael Lapides: Got it. But there is nothing mandating you to come in at any point in time. It’s up to -- it’s kind of an FP&L or NextEra decision on when to come in?
Rebecca Kujawa: Well, as you know, under the settlement agreement, we need to notify the commission in March of 2020, if we intend to come in within the next year time frame after that.
Eric Silagy: So, Michael, the settlement takes us through 2020 -- through the end of 2020, we have to notify if we choose to extend, but it is our choice to unilateral decision. And we’ll do that by March of 2020. And as Rebecca said, it could be up to two years is what we’ve been saying.
Operator: This will conclude today’s conference call. Thank you for your participation. You may now disconnect.